Tom Erixon: Good morning, and welcome to Alfa Laval's Second Quarter Earnings Call. Fredrik and I, we will run through the financials with you, and then obviously, we continue with the Q&A session. So with that, let me go straight to the financials. Financially, it was a strong quarter with an all-time high of adjusted earnings of just above SEK 3 billion and a 19% increase of the EPS to a new record level of SEK 4.87. We had strong demand growth in many end markets with an all-time high in the rolling 12- month service business and new record levels in the transactional part of the business as a whole. This partly compensated for the anticipated normalization of demand for cargo pumping systems in the quarter compared to last year. The conversion of the record-high order book was well executed in the quarter, especially in the Marine division with a margin of 24%. Finally, we feel we have a solid order book for 2025 and well into 2026, still above SEK 50 billion as we speak. Together with a good pace in the short cyclical business, it provides a stable base for the remaining of the year. Now let's move on to the Energy division. It was a stable quarter, with order intake and invoicing sequentially unchanged. The service was a bit weak in the quarter due to significant changes and investments in new warehousing and software solutions. With the internal challenges resolved and good market demand, the situation may improve in the next quarter for the Energy division's service business. After 2 years of weak demand in the HVAC segment, the quarter was a turning point and returned to growth, supported by a better heat pump demand as expected. Order intake was further supported by good volumes in the transactional business. Large projects were a bit slow to convert to orders, including for clean energy applications. With the uncertainty remaining in the market, the project pipeline still looks healthy and robust for the second half of 2025. The margin was a bit lower than last year, but still on a good level at above 17%. A slower service business and the cost structure supporting the long-term growth plan had some impact on an otherwise well-executed quarter. Finally, we closed the cryogenic acquisition in France on July 7, and we welcome 700 new coworkers and a new technology platform into the Alfa Laval family. Financially, as we indicated earlier, we expect about EUR 200 million to EUR 250 million in annual order intake and a slight accretive margin on a yearly basis for the Energy division. Then moving on to Food & Water division. The demand was firm in many end markets, including markets like dairy and pharma. Our channel partners globally have done a great job, and distribution and short-cycle businesses reached a new all-time high in the quarter. Service continued to grow at a healthy level in the quarter, which was full of many positives. The margin was stable to positive in most parts of the business, but some executional problem in part of the product portfolio weighed on margins in both the first quarter and in the second quarter. Those are now largely resolved. In the Marine Division, market conditions were in line with expectations with a lower, more normalized cargo pumping demand and strong order intake and double-digit growth in all other parts of the portfolio. As guided previously, the strong yard contracting in 2024 is not yet fully in our books and much less so in the invoicing numbers. Invoicing as such was supported by yards trying to speed up delivery schedules of ships during 2025. We do not experience any negative effects of the trade war when it comes to the Marine business at this point in time. It was in all a well-executed quarter in the division, with a good financial performance in several business units, including the Pumping Systems business. However, it was especially gratifying that the hard work to improve boiler profitability, since the end of 2022, paid off with a solid second quarter performance. The outlook remains stable for the division in 2025 and beginning of 2026. Finally then, we announced today that Sameer Kalra, since many years back, the leader of our Marine Division, will retire on September 1, and we will do an internal succession and have appointed Martijn Bergink, currently the President of the Framo and Pumping Systems business, to the new divisional president starting on September 1. Then going on to service. On a rolling 12 months, service was at all-time high, as I indicated, with an order intake of above SEK 20 billion. With order intake growth at 9% in the quarter and invoicing at 8%, the mix is slowly shifting towards service. It supports a stable margin development, but also ensures a good performance of Alfa Laval equipment around the world at customer sites. Our longer-term ambition to become a true service company has come a long way, with service orders above 30% for the group and above 40% for the Marine division in the first half of this year. Then finally, a couple of comments on key markets. China remained our largest market in the quarter. We have continued to invest in people, manufacturing and leadership in China during the years of geopolitical tension, and we will continue to do so. Although the rolling 12 months was a slight decline driven by the lower order intake for Pumping Systems specifically, all other parts performed well and grew in the quarter in China. The U.S. was positive in the quarter despite the trade disruptions and some project delays. The business sentiment in general in the U.S. remain optimistic, and the ongoing investments in Indiana to grow both our distribution and manufacturing capacity appear well timed. All other markets were stable to positive including Europe, but the growth expectations were not fully met in growth areas like Southeast Asia and India in this quarter. And with that, I'll hand over to Fredrik.
Fredrik Ekstrom: Thank you, Tom. Good morning. Let's jump directly into a financial summary of the second quarter. Order intake in the quarter amounted to SEK 16.3 billion, sequentially stable from quarter 1. Currency-driven revaluations of backlog canceled each other out across divisions. Translational impact of currency amounted to some 6% and, organically, a negative comparable at 7.8%, mainly driven by the normalization of contracting level of vessels using marine cargo pumping systems. We see a similar pattern in the year-to-date numbers, with a negative 5.9% organic order intake and a 5.1% currency impact. As mentioned by Tom previously and worth a repetition is that the transactional business and service continue on a positive growth trajectory. Uncertainty, on the other hand, continues to delay conversion of a healthy, large ordered project list to orders. The order book stands at some SEK 50.3 billion, with an almost equal split of invoicing phasing for this year and in 2026 or later. We judge this order book to be well aligned with the current price and cost levels. The Marine division accounts for roughly half of the total order book, and the total order book corresponds to 8.1 -- 8.8, sorry, months at current LTM sales pace. Revenue in the quarter was lower at a negative 4.1%. However, note the organic growth was a positive with 2.3%. Currency had a negative translational impact of 6.5% on invoice values, while structure contributed positively with 0.2%. Net sales for service grew with 2% compared to the same quarter last year, accounting for a mix of invoicing of 31% compared to 29%. Sequentially, the quarter increased with 2.2%, which is in line with normal seasonality. Year-to-date sales figures show an overall positive comparable figure with 2.6%, with a notable part coming from an organic growth of 6%, with a large contribution from marine cargo pumping system deliveries. Now to some profitability details and highlights of quarter 2. Gross profit at 37.6% is an improvement from 33.4% last year, driven by positive deviations on production results and purchasing price variances. S&A continues to increase, but at a lower pace of 4.0%. R&D costs phased in weaker in the quarter, making a contraction of 2.2%. And accumulated, these movements brought the operating income up with 5% to SEK 2.9 billion in the quarter. Adjusted EBITA improved to 17.8% from 16.7%. The effective tax rate in the quarter was within our guidance corridor of 24.9%. EPS increased 19% to SEK 4.87. And finally, a return of capital employed of 24.4% to cap off a financially strong quarter. Some additional details on the development of the adjusted EBITA of SEK 3 billion, which is an all-time high. Volume contributed with some SEK 120 million, mix with SEK 614 million, costs impacted negatively with SEK 481 million, and currency had a negative impact of SEK 184 million when we bridge quarter 2 last year. Our manufacturing sites are operationally stable. That contributed with predominantly positive production results and with positive purchasing price variances across the board. Sales mix and volume growth are also contributing positively to the margin. Finally, currency has a negative impact of 6% on the total adjusted EBITA. Now some comments with regards to cash flow. Cash flow from operating activities amounted to SEK 2.2 billion, impacted negatively on a comparable basis by the increase of work-in-progress inventory. As a side note, in these uncertain times, we have good control on accounts receivables and the associated maturity profiles. CapEx programs continue in line with plans and have a capital allocation of SEK 676 million in the quarter, bringing the free cash flow to SEK 1.5 billion. The acquisition of the sonic antifouling system technology company, NRG, marks the acquisition in the quarter for SEK 461 million. Financing activities show a positive net of SEK 801 million after the payment of dividends to our shareholders with SEK 3.5 billion and the bond issuance round of SEK 400 million, with a final cash flow contribution of SEK 1.8 billion in the quarter. Our debt position in the quarter has increased with EUR 400 million of issued bonds, preparing for the closing of the Fives cryogenic business acquisition. The net of incoming cash from the bonds and the payment of our annual dividend reflects in the cash balance. Net debt at SEK 4.6 billion or 0.34 in relation to last 12 months EBITDA. Net debt, including lease liabilities, then at 0.6 in relation to last 12 months EBITDA. To anticipate the question, our net debt position, excluding leases post close of the acquisition, stood at 1.02 compared to the 0.34 of LTM EBITDA per quarter close, a final position that still leaves us plenty of room for further acquisitions should opportunities arise. Now finally, to some revised guidance. CapEx programs continue, and we expect some SEK 0.7 billion to be recognized in quarter 3, with an expected annual level of somewhere between SEK 2.5 billion and SEK 3 billion. PPA amortization is expected at a level of SEK 125 million in quarter 3 and SEK 490 million for the year. Those numbers exclude the closed Fives cryogenic acquisition. An update for that will come after quarter 3. Tax rate guidance remains between 24% and 26%. And with that, I hand back over to Tom for some outlook statements.
Tom Erixon: Thank you, Fredrik. And looking to Q3, I already briefly commented on some post-Q2 issues. The first one that we have a new captain on the ship in the Marine division. Martijn Bergink will take the bridge as of September 1. He spent his last 6 years managing Framo, the Pumping Systems business into an unprecedented growth period, strengthened performance in the offshore business and established an emerging position in aquaculture fish farming in Bergen. And so he is well equipped to move on, and we look forward to joining -- having him join the group management team. And the Fives cryo, as I already mentioned, for most of Q3, that will be included in the books. And we are not only excited about the growth it provides us, but it's an immensely talented team in terms of people and technologies. And so we look very much forward to continue in developing that business in our family after their long and successful track record with the Fives Group in France. So regarding the demand situation, we expect market conditions to remain stable sequentially and overall demand to be somewhat higher sequentially in Q3 than in Q2. On a divisional level, we expect the Marine division to be on about the same level as in Q2. The Energy division, even without the acquisition, is expected to have a high demand and even more so, of course, following the acquisition and integration of the cryo business. And then finally, Food & Water to be lower in Q3, mainly driven by a normal seasonal pattern. So all in all, we look relatively positively on to the market conditions in Q3. And then before handing over to questions, I just want to give you the heads-up. If you haven't noticed, we will actually do a physical Capital Markets Day in our new site in Flemingsberg, outside Stockholm. After many years, we moved it into new modern facilities, and it is the center for our high-speed separation technology and a number of interesting emerging technologies in the Marine division. So we thought with new labs, with new technology and a new site and, on top of that, a relatively new divisional president in the Food & Water division, launching the new direction for the division going forward in Food & Water, we thought that merited the opportunity to bring us all together. So we know it's a busy week for most of you guys, and we are doing it as travel friendly on a Monday as we can and hope you have the possibility to join us. And with that, we hand over to the Q&A.
Operator: [Operator Instructions] The first question comes from Daniela Costa with Goldman Sachs.
Daniela C. R. de Carvalho e Costa: So I think you mentioned a couple of times across the report sort of slowness in converting from orders to sales and also, I guess, on executing on some sales. I was wondering if you could comment on sort of like are there particular end markets or regions that you're seeing this as more prevalence. Do you see that as a potential sign of cancellations or pricing pressure that might develop ahead given the situation?
Tom Erixon: Thanks. We don't see any tendencies whatsoever to cancellations. We don't see changing market conditions regarding pricing. We do see a host of projects in the pipeline. It didn't fully convert in the first half. It is somewhat difficult on large project to give a precise forecast as to how it will convert. But we don't feel that the larger project market is shifting widely, with the exception of some not coming in as we were hoping to. And I think we were particularly looking at, in the quarter that passed, projects that were related in the Energy business on large welded units to some degree, going into the traditional fossil industry and, to some degree, into the renewable. So I don't think there is a lot of problems on the end market side. The only thing I would say, compared to our expectations a year ago, we don't see the energy transition-related projects, in general, moving with the speed that we were hoping. And I think as well known, there are some of the oil majors that have temporarily at least backed out of some of the biofuel projects. So that would be the one area that for us looks weaker than we hoped maybe a year ago, but it wasn't really a big change in the quarter or anything related to the trade disputes. I think it's more related to how we're going to face emissions cost and where the EU is putting down their foot in relation to the Paris Agreement going forward.
Operator: The next question comes from the line of Nitin Ram with Deutsche Bank.
John-B Kim: It's John Kim from Deutsche. I wanted to press a little bit on the margins. Could you help us unpack the evolution in the Energy margins and whether the Q2 number reflects the factories and commercialization fully?
Tom Erixon: Yes. We are a little bit cautious in terms of how we granulate margin development. But what I would say is on a business-unit level, we had a sound development across the board. On the service side, we were a little bit penalized, as I indicated, in terms of the mix. So we didn't get quite the effect on that, that we were aiming for. And then there are some variations in between quarters with reval effects on nickel prices and these type of things. Generally, I would say, in the Energy division, we had positive PPVs, and we have good productivity and load in the factories, but we did not have any particularly positive reval effects. And you've seen some of those when we've been at substantially higher numbers in the Energy division. And then we have used the language of elevated earnings just to give you an indication that this was maybe not a given that we will sit on 20-plus percent margin at every quarter. So we think with the investment programs that we are doing in the Energy division, I remind you we're doing one of the biggest projects in our history when it comes to the future of hydrogen and electrolyzer technology. And so the plate technology investment there is substantial. And we are carrying a bit of -- the clothes are quite big to fill when it comes to what we think we will be able to do and are aiming for in the years going forward. So we are, right now, not margin optimizing the business. We are growth optimizing it. We have good hope for structural growth in the Energy division for many years to come. So we are ready for that. The CapEx programs have been largely executed. The capacity is there. So we feel good about where we are, but it wasn't, from a margin point of view, fully optimized.
Operator: The next question comes from the line of Max Yates with Morgan Stanley.
Max R. Yates: I just like to ask about the Marine division. And Tom, you've been quite bullish, I would say, on the non-Framo piece of Marine, saying kind of that's still performing well because of ship orders last year. I guess if I look at ship orders this year in a lot of the segments outside of tankers, those have weakened quite significantly year-to-date. So I guess I'm just wondering, what is the lag between those other segments and your business? Is it still the kind of normal 9 months? And does that sort of concern you? Or do you see some other offsets kind of as we maybe look 6 to 9 months out that, that won't sort of start feeding through into your business into 2026? And maybe if I can just squeeze a follow-on question. Just in terms of your Marine sales, you're now at SEK 6 billion. You talked about very high factory utilization. Is it actually physically possible to do more than that in terms of are your factories just now flat out fully loaded, and that's kind of the maximum the business can do?
Tom Erixon: All right. I'll take it in sequence. Your question is correct. This is probably the one time in my life where I'm more bullish on the market than you guys are. And that is true for Marine. We are not too concerned where the ship contracting come in this year. What we are looking at in terms of our invoicing going forward is driven by the delivery schedules of ship. And we haven't, during my years at Alfa Laval, ever had a delivery schedule for the next 3 years for ships that we have right now. Where we're going to be 3, 4 years from now, I don't know, but I don't think that will be decided in the order intake or the ship contracting at the yards this year. So we had a couple of real good years, especially last year on the contracting side. Part of that is in our books. Part of it is not. The invoicing is going to come with ship deliveries rather than the contracting. And so when we look into 2026, it looks very stable, and the visibility and stability that we are looking into 2026 has never been better than it is right now. So I'm not going to argue with you if you have a diverting view when it comes to 2028 or so. But for the short term, this is the best it's been. So if you don't like that, then you don't like the Marine business, and that's just how we read the situation. On top of that, we are looking at a fairly reasonable and good offshore demand situation going forward. And we have, for the first time since about 2 years, sorted out our margin problems in the offshore business. So we think that is, at least on the Alfa Laval average level, a quite okay business. And on top of that, we have an emerging position in aquaculture. And we have some addition of cryogenic going forward. We have multi-fuel systems being sold for the first time in ammonia and other things. We have launch of the wind propulsion coming by the end of the year. So I really struggle to be too pessimistic. But with that said, I think we also made the comment during last year that we had an order intake of SEK 30 billion last year in the Marine division. We don't feel that we are running a SEK 30 billion business at this point in time. We may down the road, but that's not what we expect the ship delivery rate is going to take us in the next 2 years or so. So I think we have a fairly reasonable invoicing level that we can support going forward. And that's kind of how I would frame our current situation. We are, in terms of capacity, in reasonable shape. We have never said no to an order for 9 years, and we have never failed to deliver. So that's not going to happen. I think we are -- but I think what I'm flagging is don't expect that our invoicing is going to support a SEK 30 billion invoicing because we don't think that's where it's going. So that's my little guidance to you.
Operator: The next question comes from the line of Klas Bergelind with Citi.
Klas Henrik Bergelind: Klas at Citi. So also a question on Marine. As you said, Tom, strong yard contracting in 2024 is still feeding into your orders ex Framo. But I'm trying to understand the mix implication here looking at sales. You still have a high margin from a backlog to deliver, but deliveries outside Framo, which is lower margin, should now start to pick up here, I guess, in 2026. So I'm trying to understand the phasing here when we can see this mix boost from Framo to start to abate. And if you could also comment on whether the service mix was particularly favorable in the quarter or if the good margin in Marine this time was mainly Framo driven?
Tom Erixon: I think, as always, I'm a bit cautious in the specific guidance of where all the pieces are moving. They always change, and everything is never the same when it comes to a new quarter. But I think structurally, what you should keep in mind is that structurally, we have a strong share of pumping system business in our invoicing going forward, irrespective. And I'm saying this because it doesn't matter how much we book in other areas during this year. It's still going to be a couple of years out before we have the deliveries. So the mix is what it is. And don't expect a dramatic change of that for the rest of the year. The service is on an all-time high. We were at 41%, I think, as a share. And of course, we work tremendously in building our service capability in the marine industry over many years. We find that it's a very appreciated way of working with our customers. It is helpful for keeping those ships going in the right way, but it also supports our capital sales and market share in other areas as a distinguishing factor when it comes to Alfa Laval's capability. So the service side is strong. And of course, with a mix of 40%, we feel that is giving us a bit of resilience. And you can imagine that if the capital sales would weaken a little bit, then obviously, we would increase our share, and it creates a bit of a natural hedge when it comes to the margin development. But as I said before, the one thing we are really happy about is the fact that we returned boiler to a reasonable level of profitability after some years of hard work, and so compliments to the team. And all parts of the business were contributing in a good way. So our good result in the quarter was not only a pumping system factor. It was mix of service, margin improvements in several areas and a good share of pumping. So we felt good about the quarter.
Klas Henrik Bergelind: Got it. My second one is on heat pumps. I mean shipment data has inflected positively at the start of the year, but in large part, thanks to the end of channel destocking for finished products. When you look at the OEMs and the discussions there, do you think that they have also digested their inventory components, enabling further growth? And then I also wanted to ask a little bit on sort of certain markets, if you have an idea like Germany and Netherlands, there appears to have been some pull forward of demand into the first half due to concerns there could be cut to subsidies, et cetera. Or do you think that this is sort of an underlying improvement that we now start to see here for heat pumps also into the second half?
Tom Erixon: Yes. The -- I would make a few comments to the heat pump side and our manufacturing systems for brazed heat exchangers that goes into the heat pumps. We have, over this period of very low demand from the heat pump side after significant capital investments into the manufacturing system, worked a lot with other applications and compensating the volume loss. And so in terms of overall volume for the product category, we are back to approximately the level we were when we peaked at the heat pump. So all in all, we have a fairly good load into the brazed heat exchanger platform, however, with a bit of an imbalance when it comes to sizes and load in various parts. So the team has done a great job in driving other applications. And as we indicated to you a couple of times, we're also seeing a clear pickup in the data center volumes that is feeding into partly to brazed and partly to other heat exchange applications, with reasonable volumes that started about mid/late last year. And so overall, we felt we are in a reasonable place after some challenging years on the brazed technology platform. Then it's clear that the destocking largely is completed. We think we are structurally back on a growth track. So we will be back to more positive volumes in HVAC in general and in heat pump specifically. I think that's almost a given. What I think we also will experience is that gradually as a big OEM market, we will also see a different competitive environment, and we're going to have to fight for our business position in these areas. And for that reason, we've been running large-scale investments to automation and other things. And you've seen some of that when you were in San Bonifacio last year. I think we are, from a cost point of view, well positioned to meet competition that may be a bit hard as the market comes back and not quite coming back to this sort of extreme demand situation we had in 2023.
Klas Henrik Bergelind: Super quick follow-up. Is that data center that have sort of compensated for you to be back in Italy there on capacity? Or what has sort of closed the gap, Tom, relative to...
Tom Erixon: Not only. I think on the data center side, it takes part of it. It was always, for us, partly a channel partner business. So we have a lot of refrigeration applications and other areas on -- that are being broadly distributed across the globe. And then as the heat pump market declined, we also certainly had a bit of a growth in the gas boiler business for residential. And so we are providing product to there, too. So there were a number of compensating issues. Maybe Fredrik, you know this business better than I, so maybe you should comment on it.
Fredrik Ekstrom: No. But I think the way you're formulating is correct that there was a pendulum movement towards fossil heating. There was also some movements towards projects dealing with district heating. And finally, and not least, the cooling market and particularly the process chiller market kept a good level and has continued to grow, particularly on the back of changing refrigerants and higher efficiency demand.
Operator: The next question comes from the line of Carl Deijenberg with DNB Carnegie.
Carl Deijenberg: So a question from my side on the acquired cryo business. I appreciate the numbers you gave out on the backlog and so forth and how we can think about that. But I just wanted to hear a little bit what you've seen in that underlying market, if we talk about LNG specifically, let's say, year-to-date and since you did the announcement of the acquisition in March. I guess it's been -- at least from a news flows perspective on capacity announcements and so forth, has been quite active. And then secondly, also the follow-up question, a little bit of Fives, how that differs relative the, let's say, old Energy division from a mix standpoint on large projects, let's say, relative transactional business. How does that differ? Or is it fairly similar to the stand- alone part that you have today?
Tom Erixon: Yes, it's a good question. And I will answer it with a little bit of, let's say, uncertainty. We obviously think we learned quite a lot about the company in the due diligence process. But we still have to work together for a while to figure everything out. I think what is given here is 2 things. We see a stable project pipeline for the first half -- well, the second half of this year. So we are not -- and they are performing financially healthy at the moment. So we think for the short term, we will be okay and in line with the guidance on order intake as well as on the margin. We have no reason to modify that position at this point in time. When it comes to the mix, it is a business which is low on service, and it's mostly projects -- it's project sales by a very large degree, not necessarily only large, large projects. There are some large EPC contracting type of work, but there are also smaller projects. LNG remains the primary driver of volumes. But obviously, we had an interest in the cryo sector also for gas liquefication in other areas like carbon dioxides, hydrogen and a host of other industrial gases. So we think for us, we have a good sales and distribution network. We will utilize that. It fits with our existing customers as well with some new. So -- and there are marine applications that are interesting here, too, which has been difficult for Fives to crack. So we think the whole cryo spectra, both in terms of some products we have on the Alfa Laval side and the platform that we get from Fives, is going to give some good opportunity to look at market expansion going forward. But we are a bit early into that. Expect an update at the Capital Markets Day when we start to get our arms around the actual situation a bit better. But of course, we are, in a 5-year perspective, rather positive as to where this will go.
Operator: The next question comes from the line of Viktor Trollsten with Danske.
Viktor Trollsten: So I wanted to sort of recheck the comments you made during Q1, where I remember that you mentioned that recent high tanker contracting is expected to start affecting the Marine division order intake now in Q2. And we obviously see Pumping Systems coming down a little bit. But from the numbers, it seems that Pumping Systems has actually come down, basically during the last 4 quarters and now guiding for flat demand in Marine into Q3. I'm just -- I guess what I'm after here is sort of how far are we from a normalized level now in Q2, would you say, in Pumping Systems. Could we already be there, so to say?
Tom Erixon: Yes, it's -- in Marine contracting, it's always a bit difficult to talk about the normal level. I must admit that, although I use the terminology myself, but I think we are there. I remind you that in Q1, which we guided was the last quarter of elevated demand, we had a substantial reval of the existing order book. So in fact, the order intake in terms of volume and margin and sort of gross order intake of new orders was quite firm in Q1, just as expected. So that came in well. But with a large order book in U.S. dollars versus the Norwegian crown, we took a sizable reval of the existing order book. And that reval, I remind you, does not have any margin effects. But in terms of the number of Norwegian crowns we get per dollar is going to be lower, and consequently, the invoicing numbers at that quarter specifically would be lower. So I think we have been following exactly the type of curve and expectations we had in Q1. And in Q2, we are down to a lower level. And I think that's probably around here that we will be is my expectation. And then I remind you that in the pumping system, we also have substantial offshore activities, seawater lift pumps and other applications that potentially is supporting the volume overall. But we are working with full loads in Bergen at the moment. We're looking to expand our footprint and size the company long term for a significantly larger business volume than we had when we bought the company 10 years ago. It was long about a SEK 4 billion to SEK 5 billion company, and now we're looking at something shy of doubling and as a steady-state type of thing. So we are quite comfortable where we are. And the current level of order intake is well in line with our expectations and long-term plan.
Operator: The next question comes from the line of James Moore with Rothschild & Co.
James Moore: I've got 3 questions, if I could. Perhaps we could start with Marine. I heard your comments earlier about the service being higher in the quarter, but it sounds like it's structurally higher and also Framo sales continuing to be stable or growing given the backlog even if orders have softened. And so with all of that, are we saying that this 24% margin could actually be sustainable at this higher level in either the second half or going forward? Maybe one at a time. That's my first question, really.
Tom Erixon: We're not giving guidance on margin. All I can say is that we don't expect huge mix shifts in the next quarter. The quarter behind us was well executed, no mishaps, good development in many areas. And so is that a given always? No. But at least in terms of visibility, there is an element of stability regarding the Marine business, looking short, medium term.
James Moore: That's great. And just to clarify, Tom, on the Marine outlook being stable into the second half, are you basically saying that both pumping and nonpumping are broadly stable because pumping has now found a more normalized level?
Tom Erixon: Yes. Let's see. I think we have tried to guide you on pumping system order intake, and we've been wrong in both the dimensions a couple of times. We missed the downturn with a couple of months when we tried to predict it to you and to ourselves, and we have not been fully grasping the growth period, I think, in guidance if we look back a year or so. So it's a very dramatically quickly shifting business with very fast contracting cycles for us, so -- and relatively high order values per shipset. So that has caused a little bit in terms of the order intake side a bit of trouble for us to be accurate. But I think in terms of the underlying age and quality and demand and ship routes and freight rates at the moment, we think there is an element of stability on a lower level on the tanker market -- product tanker chemical market. And so we don't think it's going to go very much lower. If it does, it's not necessarily affecting us over the next 4 to 6 quarters. So we are sort of a little bit relaxed around exactly where will the numbers be, but we don't feel that we've gone through a peak that is going to flatten out for years now with an oversupply in the market. We don't see a structural situation in the tanker market that is unfavorable. We think it's in reasonable balance going forward. For the rest of the Marine business, we think we probably are still on a bit of a growth track. And service has been for a period of time. And most likely, we see some of that also going forward. So yes, that's, I think, the basis for our guidance.
James Moore: That's great. And Food & Water lastly, if I could. I mean you mentioned the first half project mix and project margin weighed on the profitability. Is there any way to sort of scale that? Is it like just 100 bps? Or is it a very big number? And how do you see that moving forward? Does that drop out in the second half? Or does that persist for a period? And do you have visibility on how long that will last for?
Tom Erixon: Yes. We think we are through -- I don't want to go into the million euros. It's a number of million euros that were weighing on us in Q1, Q2. We expect that to be a nonrepeat. We may have some other repeat in some areas. So I think the overall margin situation in the division, it came out reasonably. But I guess our indication to you is that in a clean quarter, we would have been probably on the other side of 15% margin as opposed to the lower side. That's a little bit the order of magnitude. And I think with the mixed invoicing we have right now in projects, in short cyclical in service, that level of just about 15% is probably where our expectations would be if everything is working as it should. And then let's not give too much of a guidance on that. We will get back to you in a quarter, but that's kind of the magnitude of the problem we had.
Operator: The next question comes from the line of Andreas Koski with BNP Paribas.
Andreas Juhani Koski: A couple of questions on my side, too. Starting with the Energy division. You have seen destocking impacting your -- the demand for your products, but we saw improvements in Q2. Would you say that the demand for your products in Q2 is in line with the end market demand situation? Or can we still expect further improvements as destocking comes to an end?
Fredrik Ekstrom: Yes. I think that there are certain elements of destocking that are pulled through completely. And I think the end -- the destocking from our OEMs is probably complete on most of the ranges. There might be some destocking element left out in the distribution arm of it, in other words, in the installer network. But that should be a relatively low volume. I think what we start to see now is the beginning of a normalization of that order intake for heat pumps. And I think we will see that normalization carry into quarter 3 and reach a new balance level somewhere in the first half of next year.
Andreas Juhani Koski: Understood. And yes, that links into the next question because I think Q3 is normally a seasonally weaker order quarter for the Energy division. Now you're guiding for sequentially higher demand also excluding the acquisition. So can you explain or elaborate why you expect sequentially higher demand? And in what areas you expect this strength to come from?
Tom Erixon: I think we -- in reality, we came probably in this slightly lower than in the Energy division than we were looking at the quarter ago, and we still see a fairly healthy market in many of the end segments. The fossil side is good. The HVAC side is coming back. There's a fair amount of projects in the pipeline that looks viable. And so in making a bit of a balanced judgment on that for the second half of this year, we think we will, both structurally and project-wise, see a somewhat better volume on the order intake. So that was really the basis for our guidance. A little bit of lag perhaps in terms of where we wanted to be in Q2, which turns into Q3 orders and, in general, a reasonably optimistic view here.
Andreas Juhani Koski: Understood. And then if I can follow up on the Marine division. I completely understand that you are happy with the revenue visibility, and I agree on that. But as I need to forecast order intake levels also on a quarterly and annual basis, when we see ship orders being down approximately 35% year-to-date, do you not see a risk that this should impact your order intake negatively with a lag of 6 to 12 months?
Tom Erixon: I think my point in being a little bit different in my view on this is that given the cyclicality and the behavior of the order intake in terms of ship contracting, for us, it's more helpful to look at the ship delivery curve because that is what drives our order intake. But if you ask if we can repeat the SEK 30 billion in order intake in 2025 or 2026, I would say very likely not. I mean we did -- there is a reason why we have a SEK 50 billion order book. There's a reason why the demand ballooned in 2024 when it comes to the order intake. So I think it's healthy to be a little bit cautious on it, but I think when we look at the service growth of the business, when we look at the product additions, the recent acquisition of NRG, we haven't discussed in terms of how the scaling and a number of other things. We haven't discussed much on the multi-fuel, which is still making an entry into the market, although maybe not on the full scale level anticipated years ago. So we feel there are a lot of positive factors as we look to the order intake in the coming years. And where the current contracting will end up for the year, we will see. We will most likely not repeat 2,000-plus ships. But when we look at the aging of the merchant fleet, we just don't see that we have a structural overhang of capacity or too large part of the merchant fleet being young. On the contrary, we have an older fleet and less scrapping than we had for decades. So structurally, when we look at it, we think this marketplace looks reasonably attractive for the next 5-year period. And that, to us, is sort of the more important analysis to do than exactly what are the contracting cycle going to be this year. There is anyhow a 2-year waiting period to have a ship delivered. So what people decide to do in terms of committing down payments is not the primary driver of how we look at the order intake growth for the next 5 years. I'm building my own prison here. But -- so I'm not going to argue for the Marine business any further in this earnings call. I think I made the point that we feel reasonably comfortable in the years to come. But of course, we will live with the market conditions that we have. Fredrik?
Fredrik Ekstrom: All right. Sorry, this is the case.
Andreas Juhani Koski: I understand that. And then lastly, you have stopped providing an FX guidance in this quarter. Is there a specific reason for that? Or you want to share that more verbally on the conference call on the Q&A?
Fredrik Ekstrom: Yes. No, we have decided that we will take that more on the Q&A and answer those questions. We see a volatility on the market right now, particularly related to the U.S. dollar that makes it really hard for us to predict anything. It basically means that anything -- any number we put down as an outlook guidance into quarter 3 is going to be basically outdated the same minute we write it down on paper. I mean there is so many moving parts to the currency part. I'm happy to walk you through how currency affects us after a quarter, but it becomes almost impossible to give you any guidance. It would be incorrect. I don't have a better crystal ball when it comes to currencies than what you do. And furthermore, how do -- the way we would predict that and simulate that would be based on where we stand today, and then I can just as equally say that it's a repetition of what you saw in quarter 2, and that would be incorrect as well.
Operator: The next question comes from the line of Uma Samlin with Bank of America.
Uma Jun Samlin: So my question is on Food & Water orders. So you guided to a lower level in Q3 sequentially, and it seems like we have seen some sequential weakness on dairies and food and beverage and also in brewery. So I was just wondering what end market are you seeing a bit weakening demand to drive the lower guidance, but also that is there any differentiation in terms of project versus equipment?
Tom Erixon: Yes. I think we normally have a bit of a seasonal slowdown in Q3. So I would say that is a fair part of our guidance. We have installers and channel partners and other normally slowing a little bit in -- over the summer period. And then in the good number from Q2, we also have a larger USD 30 million project that was booked in the unit of Desmet that -- it may or may not repeat itself, so let's see. But under the assumption that it doesn't, that also contributed to -- those 2, I would say, were the main factors. In terms of end segments, we look across the board, relatively positive with a bit of a question mark on the biofuel side compared to, let's say, where we've been over the last couple of years.
Fredrik Ekstrom: And we should say that the transactional business is on a good growth trajectory in the Food & Water division.
Tom Erixon: Yes. And that probably remains with the seasonality that we indicated, but correct, yes. All right. I think we're done -- down to the last question, if there is any further.
Operator: The next and last question comes from the line of Vlad Sergievskii with Barclays.
Vladimir Maximovich Sergievskii: A few questions from my side, very quickly, hopefully. On Marine and Framo deliveries, are we at peak level of Framo deliveries in the second quarter already? The reason I ask is because, of course, deliveries of tankers themselves are set to go up materially again in 2026.
Tom Erixon: We are probably not exactly at the peak, but we have ramped significantly compared to last year. So I cannot give you an exact ballpark, but I would expect that maybe we are -- have a little bit of way to go before we are there. I don't know, Fredrik, if you have...
Fredrik Ekstrom: Yes. I think we have a little bit to go. I think what's important to remember here is that the sequencing or the way the backlog invoices out is different than the order intake profile. So even if we had very large quarters with very large order intakes, that is not going to manifest itself the same way in the revenue recognition of that same backlog. That's going to be much more linear and follow the actual delivery of ships from the shipyard. So the capacity gets much more -- should we say, the order -- sorry, the invoicing pattern is much more stable and distributed over a longer period of time.
Vladimir Maximovich Sergievskii: And talking about the other 2 divisions, are there any meaningful mix shift happening either in Energy or Food & Water which could have an impact on the margin one way or the other, maybe in Food & Water, a bit less biofuels, a bit more transactional business or a bit more heat exchanges in Energy?
Tom Erixon: I don't see a large shift on this. What I would say in terms of -- and I will remind those who perhaps know, this is years back, but we have, in our service business, a bit of a natural hedge, which means that if the business cycle goes down and we have a relatively smaller project order intake side and capital sales side, then normally, the share of the service business goes up, and so it becomes margin supportive and gross margin supportive. And when capital sales goes very high, then of course, we have better utilization, normally slightly better gross margins in our capital sales, but we dilute the margins a little bit with a mix change towards capital sales. So there is -- margin stability is supported by this phenomenon. It's not unique to us. I think there are other companies in the same situation. But that -- so the mix changes does not automatically translate very much into improved margins other than if the transactional and service business outgrow the rest over a longer period of time, then we have a long-term structural mix shift. And I think that's what I was indicating a little bit earlier in my presentation that compared to some years ago, we actually structurally grown the service into a slightly -- what used to be a slightly below 30% business is now slightly above 30%, and that is a little bit of a help for us now. And if we continue on this path, which we hope, it will remain so in the coming quarters and years.
Vladimir Maximovich Sergievskii: And very quick final one on the cost side. Administrative costs were up a bit more than I thought they would in the quarter. Also, you had quite substantial other costs in the P&L as well. Any specific reasons behind those cost items?
Fredrik Ekstrom: No. As Tom indicated early in the quarter 2 presentation here, we have continued to invest in many of the areas where we believe there will be growth. We haven't margin optimized. We have optimized for growth. And that's particularly true then in the Energy division, where the administrative or the S&A costs continue to increase. We have said now that we will not hold. We will not institute a savings program, but we will have some common sense around some of our discretionary costs in order to build some resilience. But it's by no means a stamping on the brakes here. We intend to make sure that we are fit for fight going forward.
Tom Erixon: Thank you. And with that, thank you for staying with us for the full hour today. We will, if not before, meet at the Q3 earnings call and then again on -- hopefully, on November 24 at, I think, around 10, 11 a.m. in Stockholm. I hope to see you there in person. Thanks a lot, and happy summer.